Operator: Ladies and gentlemen, thank you for standing by, and welcome to the China Yuchai International Limited Third Quarter 2014 Conference Call and Webcast. [Operator Instructions] I must advise you that this conference is being recorded today, Tuesday, 11th of November 2014. I would now like to turn the conference over to Kevin Theiss. Please go ahead, sir.
Kevin Theiss: Thank you for joining us today, and welcome to China Yuchai International Limited's Third Quarter 2014 Conference Call and Webcast. My name is Kevin Theiss, and I'm Grayling, China Yuchai's U.S. investor relations advisor. Joining us today are Mr. Weng Ming Hoh and Mr. Kok Ho Leong, President and Chief Financial Officer of CYI, respectively. In addition, Mr. Kelvin Lai, VP of Operations of CYI, is joining us today. Before we begin, I want to remind all listeners that throughout this call, we may make statements that may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The words believe, expect, anticipate, project, targets, optimistic, intend, aim, will or similar expressions are intended to identify forward-looking statements. All statements other than statements of historical fact are statements that may be deemed forward-looking statements. These forward-looking statements are based on current expectations or beliefs, including, but not limited to, statements concerning the company's operations, financial performance and conditions. The company cautions that these statements, by their nature, involve risks and uncertainties and actual results may differ materially depending on a variety of important factors, including those discussed in the company's reports filed with the Securities and Exchange Commission from time-to-time. The company specifically disclaims any obligation to maintain or update the forward-looking information, whether of the nature contained in the script or otherwise in the future. Mr. Hoh will provide a brief overview and summary, then Mr. Leong will review the financial results for the third quarter and 9 months ended September 30, 2014. Thereafter, we will conduct a question-and-answer session. For the purposes of today's call, the financial results are unaudited, and they will be presented in RMB and U.S. dollars. All of the financial information presented is reported using International Financial Reporting Standards as issued by the International Accounting Standards Board. Mr. Hoh, please start your presentation.
Weng Ming Hoh: Thank you, Kevin. Our higher revenues in the third quarter of 2014 are a direct result of our strategy of supplying advanced engines to multiple markets. By not being dependent on one or only a few segments, we counteracted the volatility across different markets. In the third quarter of 2014, our highest sales to the bus, agriculture, marine and natural gas engine markets offset the slow demand in the truck industrial markets. The continuing sales of higher-priced natural gas and National IV-compliant engines enhanced our revenues despite slightly lower total unit sales compared with the third quarter of 2013. Our growth in revenues in the third quarter of 2014 compared favorably against a 19.4% decline in the overall commercial vehicle industry unit sales in the third quarter of 2014, excluding gasoline-powered engines as reported by China Association of Automobile Manufacturers, CAAM. The imported heavy-duty truck market experienced only a 6.8% decline in the third quarter of 2014. Our overall on-road and off-road unit sales declined 6.1%. For the 9 months of 2014, our unit sales increased slightly on a year-over-year basis versus a 9.5% decline in commercial vehicle unit sales as reported by CAAM. The market decline for commercial vehicle sales reflected the diminished effect of the prebuy prior to the strict enforcement of the National IV emission standards in China with the effect from January 1, 2015, and increased uncertainty over the strength of China's economy. According to China's National Bureau of Statistics, GDP growth slowed to 7.3% in the third quarter, the lowest growth rate in the past 5 years. This is a direct result of lower property investments, weakening industrial demand and slowing credit growth. We maintained market leadership for bus engines as we continue to be a major supplier in the third quarter of 2014. We supplied approximately 85% of the engines used in over 3,000 public transportation vehicles serving the Second Summer Youth Olympic Games held in Nanjing, China. Our engines at the Youth Olympic Games were either natural gas engines compliant with National V emission standards or National IV-compliant diesel engines, which have autonomous control systems. We also supplied the first units of our new YC4FA130-50 light-duty diesel engines compliant with National V emission standards for transit buses in Shanghai. The YC4FA130-50 engines are 4-cylinder, 4-stroke light-duty diesel engines. This new model expands our portfolio of diesel engines that are compliant with the stricter National V emission standards, which were implemented in the major cities of Beijing and Shanghai in 2013 and '14, respectively. We sold over 8,500 natural gas engines in the third quarter, making a total of over 26,000 units sold in the first 9 months of 2014, representing a growth of approximately 24%. The majority of our natural gas engines continue to be sold to municipal bus markets, where we maintain a high market share. We continue to receive orders for our natural gas, diesel and hybrid engines to serve the major cities in China. Investment in R&D grew by 20.9% in the third quarter to RMB 134.9 million or USD 21.9 million compared with RMB 111.6 million in the same quarter of 2013. As a percentage of net revenue, R&D spending increased to 3.6% from 3% in the same quarter of 2013. For the 9 months ended September 30, 2014, R&D increased by 12.3% to RMB 362 million or USD 58.8 million, which represented 2.9% of our revenue. China has become the world's largest automobile manufacturing and consuming country. One of our key R&D goals is to create innovative engine technologies and achieve key breakthroughs to lead China's internal combustion engine development. Developing core domestic technologies for energy conserving and environmentally friendly internal combustion engines has become a critical goal. Our new R&D lab has the comprehensive testing facilities for internal combustion engine development, and we now have a total of 80 engine test benches. The test benches can be used to test micro, light, medium and heavy-duty engines. The lab is capable of testing National IV to VI and Tier 3 engines for designated engine specifications and standards. The lab has the combined talents coming from both domestic and overseas automotive industries and related industrial fields. Among new research and development concepts are innovative internal combustion systems, advanced emission controls, more effective hybrid power and alternative fuel combustions to improve engine technologies and excess noise reduction. Continuing innovation have enhanced our current customer relationships, attracted new customers and expanded our reach. We have recently made changes to our joint ventures in one of our subsidiaries. We completed the announced acquisition of 100% equity interest in our remanufacturing joint venture, Yuchai Remanufacturing Services (Suzhou) Co., Ltd., in short, YRC, in September. YRC is now a fully owned subsidiary of Guangxi Yuchai Machinery Company Limited, GYMCL. In additional to remanufacturing operations, we believe this platform provides an opportunity for cost efficiencies and for us to introduce other related activities. With better integration of the remanufacturing business and our manufacturing operations, we expect to reap significant advantages and increase finances. Our subsidiary, HL Global Enterprises, increased its shareholding interest in 1 of the hotel properties from 45% to 100%. These 2 acquisitions generated RMB 95.2 million or USD 15.5 million in pretax profit in the third quarter of 2014. Additionally, GYMCL divested its entire 30% shareholding interest in Jining Yuchai Engine Company Limited, its diesel car engine manufacturing joint venture with Zhejiang Geely Holding Group Co. This decision was made after discussion with the other shareholder in Jining Yuchai. We continued to closely monitor the financial market to take advantage of freight changes to ensure that we have the most efficient financial instrument to support our growth at the lowest cost. We periodically adjust the amount of our discounting of bills and bank borrowings to reduce our financial expense. We increased our cash position in the third quarter of 2014 to RMB 2.9 billion from RMB 2.4 billion in the second quarter of 2014, a straight and bill-stable decline. We remain cash-positive. In July 2014, we paid out a dividend of USD 1.20 per ordinary share to shareholders, so they would benefit from our performance in 2013. Shareholders were given the option of choosing to receive the dividend entirely in cash or new shares. As a result of this elective dividend, our outstanding share capital increased by 2.5% to 38,195,706 common shares. The outlook for truck market remains uncertain as the growth from the prebuy effect of National III-compliant vehicles has substantially declined. Demand for our engines from bus markets remained stable as our more environmentally friendly and energy conserving engines meet or exceed the requirements for the municipal and school bus markets. Our off-road sales growth in the agriculture and marine markets will continue, although at a more moderate rate. We have high horsepower marine engines and more natural gas testing capacity becoming operational over the next few quarters to help meet demand in those spaces. With our broad line of advanced engines, we are well positioned to quickly take advantage of new opportunities that arise in the marketplace. With new innovation to enhance engine performance, the broadest line of engines in China and the largest service network, we are confident that we will continue to grow our customer portfolio. With that, let me turn the call over to Kok Ho Leong, our CFO, to provide more details on the financial results.
Kok Ho Leong: Thank you, Weng Ming. I will now provide some more details on the third quarter and 9-month financial performance. Net revenue for the third quarter of 2014 was RMB 3.75 billion, USD 609.9 million, compared with RMB 3.70 billion in the third quarter of 2013. The total number of engines sold during the third quarter of 2014 was 111,023 units compared with 118,282 units in the same quarter a year ago, representing a decrease of 6.1%, which compared favorably with the industry decline of 19.4% in unit sales of commercial vehicles, excluding gasoline-powered vehicles, in the third quarter of 2014 as reported by the China Association of Automobile Manufacturers, CAAM. Gross profit was RMB 715.7 million, USD 116.3 million, compared with RMB 740.4 million in the same quarter of 2013. Gross margin was 19.1% in the third quarter of 2014 compared with 20.0% in the same quarter last year. Other operating income was RMB 39.6 million, USD 6.4 million, an increase of RMB 10.7 million from RMB 28.9 million in the same quarter last year. R&D, research and development expenses were RMB 134.9 million, USD 21.9 million, compared with RMB 111.6 million in the same quarter of 2013, an increase of 20.9%. As a percentage of net revenue, R&D spending was 3.6% compared with 3.0% in the same quarter of 2013. The increase in R&D percentage was mainly due to higher development and testing costs as we introduced new engines to the market. Selling, general and administrative, SG&A, expenses of RMB 392.7 million, USD 63.8 million, declined from RMB 404.9 million in the third quarter last year, a decrease of RMB 12.2 million or 3.0%. SG&A expenses represented 10.5% of net revenue compared with 10.9% in the third quarter of 2013. The decline in the SG&A percentage was mainly due to lower warranty and travel expenses. Operating profit decreased by 10.0% to RMB 227 million, USD 37.0 million, from RMB 252.8 million in the third quarter of 2013. The decrease of RMB 25.2 million was mainly due to lower gross profit and higher R&D expenses. The operating margin was 6.1% compared with 6.8% in the third quarter of 2013. Finance costs decreased by 16.0% to RMB 51.7 million, USD 8.4 million, from RMB 61.6 million in the same quarter last year. Lower finance costs mainly resulted from less bill discounting and lower interest costs from the issuance of 3-year, mid-term notes amounting to RMB 1 billion in May 2013 at a fixed annual interest rate of 4.69%. The share of joint ventures was a loss of RMB 2.9 million, USD 0.5 million, compared with a loss of RMB 7.2 million in the same quarter last year. The gains arising from acquisitions in the third quarter of 2014 were RMB 95.2 million, USD 15.5 million. This was due to GYMCL increasing its shareholding interest in Yuchai Remanufacturing Services (Suzhou) Co., Ltd. from 51% to 100%, which resulted in a fair value gain and negative goodwill of RMB 64.8 million. The remaining was due to HL Global Enterprises Ltd. increasing its shareholding interest in a hotel property from 45% to 100%. These are preliminary assessments. There were no such gains in the same period in 2013. In the third quarter of 2014, total net profit attributable to China Yuchai's shareholders was RMB 143.8 million, USD 23.4 million, or earnings per share of RMB 3.77, USD 0.61, compared with RMB 106.5 million or earnings per share of RMB 2.86 in the same quarter of 2013. Earnings per share in the third quarter of 2014 was based on a weighted average of 39,135,182 (sic) [38,135,182] shares compared with the earnings per share in the third quarter of 2013, which was based on a weighted average of 37,267,673 shares. Let me now go over to the results for the 9 months ended September 30, 2014. For the 9 months ended September 30, 2014, net revenue was RMB 12.5 billion, USD 2.0 billion, compared with RMB 11.7 billion in the same period last year. The increase in net sales was RMB 803 million or 6.9% compared with the same period in 2013. The total number of diesel engines sold by GYMCL during the first 9 months of 2014 was 390,731 units compared with 390,173 units in the same period last year. The slight increase compared favorably with the industry decline of 9.5% in unit sales of commercial vehicles, excluding gasoline-powered vehicles, for the 9 months of 2014 as reported by CAAM. Higher engine sales were mainly attributable to increased sales to the agriculture markets. Gross profit was RMB 2.3 billion, USD 377.2 million, similar to the same period last year. Gross profit margin remained at 18.5% compared with 19.5% for the first 9 months of 2013. The decline was mainly attributable to the change in sales mix to higher engine sales for agriculture applications and a more competitive commercial vehicle market. Other operating income was RMB 81.1 million, USD 13.2 million, a decrease of RMB 5.3 million from RMB 86.4 million in the same period last year. Research and development, R&D, expenses were RMB 362.0 million, USD 58.8 million, compared with RMB 322.3 million in the same period in 2013, an increase of 12.3%. As a percentage of net revenue, R&D spending was 2.9% compared with 2.8% in the first 9 months of 2013. R&D expenses increased mainly due to the ongoing research and development of new and existing engine products as well as continued initiatives to improve engine quality. Selling, general and administrative, SG&A, expenses were RMB 1.14 billion, USD 185.0 million, which was similar to RMB 1.13 billion in the same period last year. SG&A expenses represented 9.1% of net revenue for the first 9 months of 2014 compared with 9.6% in the same period last year. The decline in SG&A percentage was mainly due to lower advertising and promotion expenditures and traveling expenditures, which was offset by higher warranty expenses. Operating profit decreased to RMB 901.5 million, USD 146.5 million, from RMB 925.4 million in the same period last year. The decrease of RMB 23.9 million was mainly due to an increase in R&D expenses and SG&A expenses, offset by higher gross profit. The operating margin was 7.2% compared with 7.9% in the same period last year. Finance costs declined to RMB 120.2 million, USD 19.5 million, from RMB 135.4 million in the same period last year, a decrease of RMB 15.2 million or 11.2%. The decrease in finance cost was mainly due to lower interest cost from the outstanding short-term and mid-term notes and less bills discounting in the first 9 months of 2014 as compared with the same period in 2013. The share of joint ventures was a loss of RMB 27.1 million, USD 4.4 million, a reduction in loss of RMB 5.8 million (sic) [5.3 million] compared with a loss of RMB 32.9 million in the same period in 2013. The gains arising from acquisitions were RMB 95.2 million, USD 15.5 million. These gains were recorded in the third quarter of 2014. There were no such gains in the same period last year. For the 9 months ended September 30, 2014, total net profit attributable to China Yuchai's shareholders was RMB 489.1 million, USD 79.5 million, or earnings per share of RMB 13.2 (sic) [RMB 13.02], USD 2.12, compared with RMB 446.3 million or earnings per share of RMB 11.98 in the same period last year. Earnings per share for the 9 months ended September 30, 2014, was based on a weighted average of 37,560,020 shares compared with earnings per share for the 9 months ended September 30, 2013, which was based on weighted average of 39,267,673 (sic) [37,267,673] shares. Let me go to balance sheet highlights as at September 30, 2014. Cash and bank balances were RMB 2.9 billion, USD 467.3 million, compared with RMB 3.6 billion as at December 31, 2013. Short- and long-term borrowings were RMB 2.7 billion, USD 437.7 million, compared with RMB 2.3 billion at the end of 2013. Net inventory was RMB 2.1 billion, USD 341.3 million, compared with RMB 2.3 billion at the end of 2013. We have innovative engine technology, manufacturing expertise and experience in many different markets that positions us for future success. We are prepared to meet the challenges of a difficult market and capture market share in the future. With that, operator, we are ready to begin the Q&A session.
Operator: [Operator Instructions] Your first question comes from the line of Alex Potter from Piper Jaffray.
Alexander E. Potter - Piper Jaffray Companies, Research Division: Was wondering if you could, first, give an update regarding the percentage of your volume right now that is NS IV compliant and the degree to which you think there's going to be, I guess, a change in that over the next several months, and then into next year.
Weng Ming Hoh: Alex, this is Weng Ming. Okay. Now I think right now, in fact, up to this point, I wouldn't go back to the earlier month -- I'll answer that question in 2 areas, 1 is in the bus market. The bus market, our National IV or V-compliant engine accounts for close to 70%, 80% -- 80% of the bus engines sold in the bus market, whereas in the truck market, it's right now about 30%. Now as you know, the government has stated that they will strictly enforce the National IV compliance standards by the end of this year or 1st of January 2015. So going forward into 2015, we expect to be all our vehicles to be fully compliant.
Alexander E. Potter - Piper Jaffray Companies, Research Division: And that will be the case for heavy, medium, light-duty engines right across the entire range, everything should be NS IV compliant. Is that right?
Weng Ming Hoh: We probably believe, yes.
Alexander E. Potter - Piper Jaffray Companies, Research Division: Okay. And then that leads to my next question, as to the -- my understanding at least is that in the light-duty space, there's a particularly high level of noncompliance among your competitors. There's lots of smaller companies that perhaps aren't able to reach the new standard. So in your opinion, in that light-duty space, will this new emission standard end up being a catalyst for Yuchai to win more market share?
Weng Ming Hoh: Well, I mean, the government is going to enforce strictly and it's going to be across the country. Yes, we hope that, that will happen.
Alexander E. Potter - Piper Jaffray Companies, Research Division: Okay. And then this, I guess, is maybe a related question. Obviously, it depends maybe on the extent to which we get some prebuy demand in Q4. But I'm just wondering what your updated view is for maybe the heavy, medium and light-duty truck market in 2015?
Weng Ming Hoh: Okay. I mean, to be honest with you, I think right now up to this point, we haven't seen -- I mean, the prebuy effect has diminished significantly. So in the fourth quarter of this year, we do not expect to see some, but I'm sure there will be some, but we don't expect to see a very significant prebuy effect now. Especially for the OEMs with the strict enforcement of this National IV, they are probably very cautious in producing National III engines now, right? So we expect that next year, going into next year, the demand for the truck engine, because of the what I call the prebuy effect over the year, okay, to have an impact on next year's sales at least in the short term, okay? So we think that next year, in the early part of next year, it's going to be quite challenging. There's a lot of uncertainties there only for the truck market. But for the other markets, like the bus market, I think that should be okay. I think we think they will have some moderate growth. In other segments, like the marine engine and even maybe the agriculture engine, I expect to see some growth there. The natural gas engine especially, we think the growth will continue, it's still very healthy.
Operator: The next question comes from the line of David Raso from Evercore ISI.
David Raso - Evercore ISI, Research Division: So I was curious, what is the average price increase for the new emission engines versus the prior engines? And then a follow-on is how does that mix next year impact your margins with a greater shift toward the NS IV engines?
Weng Ming Hoh: Okay. Our growth is about -- the price difference in terms of average sales relating to the National IV is about close to 20% increase. Now the overall impact for next year in terms of margin if the National IV engines -- I would call the markets will be so uncertain because of prebuys in this year, and then enforcement of National IV, we'll probably see some challenging times ahead. I think for next year, however, we believe that next year with the improvement in the bus market, that may mitigate the effect of the truck market challenges.
David Raso - Evercore ISI, Research Division: That's helpful. So the margin -- I know you're not going to give us the exact. But the margins for the buses relative to the on-highway trucks, can you give us a rough idea of the margin difference?
Weng Ming Hoh: I won't give you specifically, but it will be higher.
David Raso - Evercore ISI, Research Division: Okay. But overall, that sort of a bit of a negative mix shift with NS IV next year as you ramp up, but again the bus outgrowth should mitigate, so we should think about margins, of course, volume-dependent. But at this stage, you expect your margins to generally hold next year versus this year is a decent base case for right now?
Weng Ming Hoh: Yes. Well, we think probably about the same. We do not expect to see a big growth in the margin in the next year, particularly because of probably some changes in the shift and also the challenges of the truck market, in particular, the heavy truck market.
Operator: Your next question comes from the line of Mohit Khanna from Value Investment.
Mohit Khanna: Could you please talk a bit more about the working capital management? And do you see some of the bill receivables converting to cash early next year?
Kok Ho Leong: Yes, maybe we talk under the overall market conditions. China market, as everybody knows, has heightened [ph] a little. We can see that smaller players [indiscernible] liquidity. The good thing about us is we are dealing with the major OEMs. They'll either give us bills or cash. So that help us a lot. But it is evident that the AR are stretched slightly more in the coming months. That is what we are seeing. Anyway, the strength of our company is that we have a hold on to the comfortable cash flow. We can choose to enter into the market to do borrowing or bill discounting, when the market is better. That is the strategy we have been adopting in the past years. So that's helped us to be on our balance sheet to support the operation.
Mohit Khanna: Okay. And also could you please, if you can give the exact number or so, what is the margin for the natural gas engines? I mean, out of total engines that you sold, how much were the natural gas engines in the total lot?
Kok Ho Leong: We have not been disclosing such information because we believe that our strength does not come from one market segment, so we would not like to highlight a certain segment. The strength of Yuchai comes from that we are able to switch to these different segments according to the market condition.
Mohit Khanna: Okay. That's understandable. And could you please talk about the export market? In the last quarter call, we had a good conversation about the export market that has been growing. So what are -- how it has been in the third quarter and how do you see it going forward?
Weng Ming Hoh: Okay. This is Weng Ming here, Mohit. The export market has been going well. I think up to this point, we're still having a pretty good growth, double-digit growth, [indiscernible] also it's a very significant growth. Most of our growth is in what I call the packaged sales, where our engines are fitted into one of our OEMs who then sell it overseas. Now in terms of export market, the bulk of our engines are sold to the power station market, which [indiscernible] within our backyard. We also have received some good orders from Middle East as well.
Operator: [Operator Instructions]
Kok Ho Leong: There is a question by Martin Chou [ph]. The question is shall we have the financial figures of Q3 after the core? If you refer to the press release, the numbers are there. That's the usual format we share with shareholders at large.
Operator: We have a follow-up question from the line of David Raso from Evercore ISI.
David Raso - Evercore ISI, Research Division: I was curious, I know it's a little early, but your off-highway customers, this is when they start to think about and maybe begin to ramp production into Chinese New Year. And I was just curious, have you had many conversations yet with your off-highway customers to get a feel for, so to say, construction equipment? How are you viewing the typical production build into Chinese New Year this year versus last year?
Weng Ming Hoh: Now the -- I mean, the off-market highway this year hasn't been going [ph] very well this year. It's fared quite badly for this segment. From our experience or from our -- I mean, we do talk to our customers a lot. We don't expect a significant uptake rather in the next -- in the short term rather for the construction segment. However, in off-market, our marine have been growing pretty well. And also the agriculture segment has been growing pretty well as well. But in the case of agriculture segment, it has been growing very well the last 2 years for us. So we will still see a moderate growth next year but probably not in the same magnitude as we have seen in the last 2 years, okay? Marine engines have been moving quite well.
Operator: Your next question comes from the line of Bill Nasgovitz from Heartland Funds.
William John Nasgovitz - Heartland Advisors, Inc.: Just trying to get an idea of your strategy here with so much cash on the balance sheet and at the same time, a little bit lesser amount in terms of short- and long-term borrowings. What is your overall strategy there? Why do you keep so much cash and debt at the same time?
Kok Ho Leong: Okay. If you look at our cash balance, we are holding about RMB 2.8 billion. But this number, if you look at the perspective of our total sales in the year, which is close to RMB 15 billion or RMB 16 billion. So that is value in 3 months of cash if you use shorthand calculation. If you look at the factory, a company of our size, especially we are in the manufacturing business and also especially we are working in China, where the money market has been easing and tightening even within the same year, it is prudent for the company to keep sufficient cash to buffer the operation and also to give us the ability to borrow when the market rates soften. This has been always our strategy for the past years and it will continue to be the strategy for us as well in the years forward. But adding to our flavor is you can see in the past year, we add on to some more financing instruments. As we start[ph] on with short-term notes and we move on to medium-term notes, there will be other instruments we continue to explore. That's how we keep our cash and borrowing position healthy.
Weng Ming Hoh: Okay. I'll add to that part of it. I think also, as you know in China, I mean, the control of the monetary policy is quite different. And I think also for us, we have to also prepare for the early part of next year as we build up for the next year's business. Quite often in China, the liquidity is quite tight to just before the Chinese New Year. And Chinese New Year is coming up next year in sometime in February, so we hope to prepare for that.
William John Nasgovitz - Heartland Advisors, Inc.: Okay. Say, one other question then. With your stock selling at below stated book value and a relatively low multiple, why haven't you purchased/repurchased shares?
Weng Ming Hoh: Okay. If you look at our history, I think we like to use our cash on operations. But as for the -- in terms of lower share market -- the price, I think we'll let the market decide what price is reasonable for us. However, if you look at our past performance in the last few years especially, you'll notice that we have been paying pretty high dividends and the yield, for our business is -- for our company is actually quite high compared to many, many companies.
William John Nasgovitz - Heartland Advisors, Inc.: And perhaps -- well, that's true, but also your earnings yield is abnormally high on your stock. If you're truly selling at 7x earnings, that's a 14% after-tax earnings yield. Wouldn't that make more sense?
Weng Ming Hoh: Well, we have a quite small share base. I mean, if we were to go into that, I think there won't be very many shares out in the public arena. That's probably that's one option that we can think about. But however, I think from management and a board point of view, we prefer probably to [indiscernible] our shareholders in other ways, all right, even...
William John Nasgovitz - Heartland Advisors, Inc.: Okay. Well, it's worked well for Warren Buffett with Berkshire Hathaway if you check the price of their stock. Limited supply scarcity value sometimes puts the stock up in price.
Weng Ming Hoh: Yes, thank you. We note your point.
Operator: We have now reached the end of our Q&A session, and I'll turn the call back over to Mr. Hoh.
Weng Ming Hoh: Thank you, all, for participating in this conference call. We look forward to speaking with you again. Thank you, goodbye.